Operator: Good afternoon, everyone, and thank you for participating in today's Conference Call to discuss Gaia Inc.'s Financial Results for the Third Quarter ended September 30, 2021. Joining us today are Gaia's CFO and Office of President, Mr. Paul Tarell. Following some prepared remarks, we will open the call for your questions. Before we get started, however, I'd like to take a minute to read the Safe Harbor language. The following constitutes the Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. The matters discussed today include forward-looking statements that involve numerous assumptions, risks and uncertainties. These include but are not limited to, general business conditions, historical losses, competition, changing consumer preferences, subscriber costs and retention rates, acquisitions and other risks and uncertainties detailed from time-to-time in our filings with the Securities and Exchange Commission, including our reports on Form 10-K and Form 10-Q. Gaia assumes no obligation to publicly update or revise any forward-looking statements. With that, I would now like to turn the call over to Gaia's CFO of Office of President, Paul Tarell. Please go ahead.
Paul Tarell: Thank you, Cody and good afternoon, everyone. I'm stepping in for Jirka today as he is currently at home battling stomach bug. Revenues were up 22% year-to-date with third quarter revenues up to $20.4 million and gross margin steady at 87.1%. We ended the quarter with 790,500 paying members, which we believe to be a solid result when considering Q3 last year reflected the heart of the pandemic. Total member acquisition costs during the quarter were $7.8 million, or 39% of revenues. As we've noted on prior earnings calls, the digital advertising market continues to be crowded and competitive. While the recent trend and CPA is elevated from the levels we saw during the initial COVID period in 2020, it is still favorable compared to our historical trends. We're continuing to execute on our strategic plan to reduce dependency on paid media to drive member growth, with a concerted focus on scaling our ambassador program globally. Despite the challenging paid media market, we were able to drive over 20,000 net ads during the quarter while staying within our overall target spent level. This was primarily the result of improvements in our overall retention as our member base continues to season. Selling and operating expenses, excluding marketing and member acquisition costs in the third quarter were $7.7 million or 38% of revenues, corporate in G&A expenses in the quarter were $1.5 million, or 7% of revenues. For the nine months ended September 30, 2021, we improved total operating expenses to 84% of revenues, compared to 98% of revenues in the year ago period. The current year reflects the stabilizations of our cost structure since turning profitable in the third quarter of 2020. EBITDA to improve to $4 million or 20% of revenues in the quarter from $3.4 million or 19% of revenues in the year ago quarter. This marks our sixth consecutive quarter of generating positive EBITDA. Year-to-date, we've generated $11.5 million of EBITDA compared to $3.9 million in the prior year. The current year results reflect a flow through 72% of the incremental revenues generated during 2021 to the EBITDA line compared to 2020. We generated a net income of $0.6 million or $0.03 per share during the third quarter of 2021 compared $0.2 million or $0.01 per share in the year ago period, which excludes the $6.1 million gain we recorded in the prior year quarter related to the sale of a portion of our corporate campus. Year-to-date, we have generated $1.6 million of net income or $0.08 share. Cash flow from operations increased to $5.1 million during the quarter, an improvement of $1.8 million from Q3, 2020 and our eighth consecutive quarter of generating positive cash flows from operations. We increased our content investment during the year as planned, while also increasing our overall cash balance to $14.4 million. We continue to see 80 plus percent of our monthly viewership on our original programming. With our end-to-end content production fully in-house, we continue to focus on investing in our content library at a cost per hour that allows us to recoup our initial cash investment quickly. In addition to this quick recovery of our initial investment, we also benefit from the long tail viewership of our content to improve the overall return on our content investment. We help successful live events at the GaiaSphere, our state of the art events center in September and October was sold out crowds, which allowed us to promote our premium events plus $299 annual subscription to those that couldn't attend in person. Events Plus is the rebranded name for what we previously called our Live Access Annual Plan. The early results of our focus on promoting Events Plus to our existing members have been positive. With that, I would like to open up the call for questions, operator.
Operator: [Operator Instructions] And we'll take our first question from Eric Wold with B. Riley Securities. 
EricWold: Thanks. Good afternoon, Paul. A couple of questions. I guess one obviously; you talked about the digital ad market continue to be tough and competitive. Maybe just additional thoughts on how you've adapted your spending around that? Is it a function of being more efficient, looking for better ways to do the same spending or you actually cutting back on the spending a little bit to watch how the market plays out.
PaulTarell: I think we're not purposely cutting back on spends to see how the market plays out. We're definitely being opportunistic, as we see pockets of volatility that we can take advantage of, the paid media market works very similarly to the stock market. And so with the supply and demand as the ebbs and flows through the weeks and the months and the quarters, we're poised to act but when it starts to get above our thresholds, we pulled back by design. So I think it's a combination of both and as we've seen this upward pressure in the CPMs, which is the cost of the media, we've been focusing on improving our conversion rates from guest to member which helps us bring down our calculated CPA. But we've also been focusing on building out, as I mentioned in my prepared remarks, the ambassador program and really focusing on that as a long-term investment, because we don't really see this dissipating as it relates to paid media. But we have the message that we need to offset it from, from our perspective. So we're right on track.
EricWold: And what are the best methodologies you found to improve conversion to event driver?
PaulTarell: Well, I think the biggest thing that we're doing is really targeting are the ad that we're presenting with the payoff when they get to the site. And we've been making some investments in our infrastructure to be able to do more one-to-one, what we call merchandising, so when someone comes to the site from an ad that they clicked on, the site's going to look very much relevant to that ad. And this is critically important for us because with 8,000 pieces of content, that span the wide variety of topics that our library does, we have to be very crisp in terms of connecting net marketing message to the payoff when they come to the site.
EricWold: Got it. And then lastly, on the ambassador program, any metrics you can provide around the early success of that really kind of progress of that in terms of how successful they've been in signing up members, and maybe the mix of members are signing up? I'm assuming they're weighted more towards annual and previous descriptions, maybe just a little help there.
PaulTarell: Sure, there's not a lot of quantitative data that I'm ready to share yet, as we've just been kind of scaling it up since our SVP of sales joined in March and has been building the team and getting ramped up. But I will answer the last part of your question there. We are seeing a bias towards annual and events plus as part of our focus and it makes sense because they get the ambassador ends up getting paid based on what we get paid. And so to ramp them up quickly from a cold start, we're trying to focus them on building a revenue base rather than a subscriber base. So biasing towards the higher dollar plans.
Operator: We will hear next from Mark Argento with Lake Street. 
MarkArgento: Good morning, Paul, congrats on the new title as well Office of President. So it's exciting. Wanted to dig in a little bit on kind of unit economics or subscriber economics. Just translate a little bit here for me. So it sounded like retention as an either stable or improved. So in other words churn again, stable or maybe even moderately improved. Is that fair statement?
PaulTarell: Yes, when you look at it as a function of the percentage of our member base, we're actually improving as a percentage, which means the absolute numbers of lost members each month is staying flat. So as we continue to grow, that means we have to replace less members each month to get forward progress. The summer is obviously a time period where, especially this year, consumers are not typically looking to sign up for new devices. So we talked about this on the August call that July and the first part of August, we were seeing some of those challenges. But as you get into Labor Day, we saw our historical pattern kind of reemerged. That was gone in 2020, which was that once it starts to be fall, and kids are getting back to school, you start to see more interest in demand as it relates to the new customer acquisition.
MarkArgento: And on the new customer side, is it -- is there seasonality and when you can acquire some more of an annual contract or have a better shot at doing that versus monthly?
PaulTarell: Yes, I think it echoes what I just said around the summer being typically more challenging time in a normal year end quotes. But as we look to coming back into the fall, we've actually been doing some work to focus on can we skew the annual versus the monthly take rate by doing what we call bonus material. So a download of a PDF with incremental content in there some bonus footage that you may not be able to get so we're actually able to influence what plan people sign up for, based on how we present it, which gives us the flexibility as we're looking at different times of year which one -- which way we want to go $11.99 a month for the revenue benefit or $99 a year to get the cash and retention tied up so something that we've been exploring the ability to toggle back and forth. But yes, we can absolutely influence it. 
MarkArgento: Great. And then just pivoting to content and content costs. I know you guys are producing more and more of your own content in studio versus buying and already pre produced content or scripted content, what's the mix? What do you anticipate that mix of content going forward is going to be, is it going to be -- are you going to see more type live or quasi live or self produced content versus the scripted content, and maybe just talk a little bit about trends and costs for both your own in-house, but also second, or third party content?
PaulTarell: Sure, so we really look to bias towards doing original productions for the majority of our spend, because it's just so much more economically favorable to us. And it's a much more targeted ability for us to produce content into the demand. We typically use licensing for two primary things, one, content expansion into topics that we're interested in exploring from a production perspective, but it's a little bit further out from a time horizon. So it makes sense for us to be able to license it to get a better signal of what the interest is there before we ramp up the original production. And then the second area where we're focusing on licensing of content is in our non English languages, as we focus on building out French and German, going into '22, to supplement what we have done with Spanish to date. So either of those areas is really to get us into the market as quick as possible, to start to be able to mine the data for us to then direct our internal production resources to where we think the biggest opportunity is.
Operator: We'll take our next question from Ryan Reyes with ABI Investments.
UnidentifiedAnalyst: Hey, Paul, can you hear me? Okay. I want to add my congratulations too for well deserved promotion. And a lot of my questions have been answered; I just have one additional one. Given the supply chain issues and trouble getting physical goods on shelves, is there an opportunity to sell Gaia memberships as a unique gift idea to the membership base?
PaulTarell: Yes, I think there's definitely an opportunity, there's a virtual good, I don't know that it's really set into the consumers mind yet. I don't want to speculate on people deciding whether they can get what they want for Christmas or not. But what we've typically seen historically is that there's a big push from Thanksgiving through kind of the week before Christmas that puts a lot of pressure on the ad market for retailers that have physical goods that they want to ship. So if this dynamic plays out the way that you're indicating that we might be able to see some favorable opportunities on the ad market, not only for being able to promote last minute gift opportunities, but also just a dissipation and some of the headwinds that we would normally see during the holiday period. We don't know if that's actually going to be how it plays out. But with what you're hearing from everyone in the shipping challenges, it's a possibility.
UnidentifiedAnalyst: Well, what about reaching out to the mix of current membership base as an idea involve their loved ones or friends and family and the guy experience?
PaulTarell: Absolutely, that's one of our core tenants of our ambassador program is kind of this refer a friend, invite a friend, or share content so that we can get the word out. We haven't formalized a concerted effort or plan to try to promote that, but it's definitely something that as a secondary or tertiary message in all of our email communications to our members. Thank you. And at this time, this does conclude our question-and-answer session. I would now like to turn the call back over to Mr. Tarell for closing remarks.
Paul Tarell: Thank you, Cody, and thank you to everyone for your participation today. And I look forward to speaking with you again when we release Q4 results sometime in late February. And hope everyone has a great day.
Operator: Thank you, ladies and gentlemen. This concludes today's teleconference. You may disconnect your lines at this time. Thank you all for your participation.